Operator: All participants, please continue to stand by. The conference will begin momentarily. Once again, please continue to stand by. We thank you for your patience. All participants, please continue to stand by. The conference will begin momentarily. Once again, please continue to stand by. We thank you for your patience. All participants, please continue to stand by. The conference will begin momentarily. Once again, please continue to stand by. We thank you for your patience.
Operator: Many people are recording right now? This conference is being recorded. All participants, please stand by. Your conference is ready to begin. Good morning. I'll now turn the call over to Scott Parsons, Alamos Gold Inc.'s senior vice president of corporate development and investor relations. Please go ahead.
Scott Parsons: Thank you, operator, and thanks to everyone for attending Alamos Gold Inc.'s fourth quarter 2024 conference call. In addition to myself, we have on the line today John McCluskey, President and Chief Executive Officer; Greg Fisher, Chief Financial Officer; Luc Guimond, Chief Operating Officer; and Scott R.G. Parsons, our Vice President of Exploration. We will be referring to a presentation during the conference call that is available through the webcast and on our website. I would also like to remind everyone that our presentation will be followed by a Q&A session. As we will be making forward-looking statements during the call, please refer to the cautionary notes included in the presentation, news release, and MD&A, as well as the risk factors set out in our annual information form. Technical information in this presentation has been reviewed and approved by Chris Boswick, our Senior Vice President of Technical Services, and a qualified person. Also, please bear in mind that all of the dollar amounts mentioned in this conference call are in US dollars unless otherwise noted. Now John will provide you with an overview of the quarter.
John McCluskey: Thank you, Scott. 2024 was a year of accomplishments for Alamos Gold Inc. We acquired the Magino mine adjacent to our high-grade Island Gold operation, a key step towards creating one of Canada's largest and lowest-cost gold mines. We expanded into Quebec through the acquisition of a highly prospective Kickapack project. We continued advancing our high-return, self-funded organic growth initiatives. Alamos Gold Inc. also had a record operational and financial year, including record revenue, cash flow from operations, and free cash flow. Production increased 7% to 567,000 ounces, meeting full-year guidance, which was increased subsequent to the Magino acquisition. We also set a new record for annual production for the second consecutive year. Our costs were also in line with guidance, and combined with a robust gold price, we generated a record free cash flow of $272 million. This strong financial performance was net of funding for the Phase Three expansion and a substantial exploration program. With ongoing free cash flow, $327 million in cash, and total liquidity of over $800 million, we remain well-positioned to internally fund one of the best growth profiles in the sector. Turning to slide four. In January, we released our three-year guidance outlining 7% production growth in 2025, approximately 605,000 ounces. This production growth is expected to continue into 2026 and to approximately 700,000 ounces into 2027. This represents 24% production growth over the next three years, with all-in sustaining costs expected to decrease 8% over the same time frame, driven by low-cost growth and the completion of Phase Three expansion at Island Gold. Lyn Lake is another key part of our growth plan, having announced a construction decision last month. With development activities ramping up this quarter, we expect initial production in the first half of 2028. Completion of the Lynn Lake project is expected to drive annual production to approximately 900,000 ounces per year with a further decrease in cost. Longer term, we see excellent potential to expand the Island Gold District further, taking consolidated annual production closer to one million ounces. All of this growth is in Canada, it's all fully funded, and it is all lower cost, driving substantial free cash flow growth in the years to come. We made significant progress across our growth projects in 2024. At Island Gold, the shaft sink is approximately 75% complete, having reached a depth of 1,000 meters last week. Overall, Phase Three expansion is progressing well and remains on track for completion in the first half of 2026. In September, we released the results of an internal economic study on the PDA project, highlighting an attractive low-cost, high-return project that will extend the mine life of the Milatos District until at least 2035. Approval of the amended environmental permit was received in January, and we expect to wrap up construction activities towards the middle of this year, with first production expected in mid-2027. Last week, we released the results of an internal economic study on the Burt, Timber, and Liquid deposits, outlining another low-capital, high-return project. As satellite deposits to the Lynn Lake project, Burk Tiburon and Liquid are expected to significantly extend the mine life of Lynn Lake, support higher long-term rates of production, and enhance already strong economics. As outlined earlier this week, we had another year of tremendous exploration success, with our global reserve increasing 31% to 14 million ounces, marking the sixth consecutive year of growth. This reflected the acquisition of Magino, the initial reserve at Burton Timber in Lynkwood, and another year of substantial high-grade additions at Island Gold. Combined reserves and resources at Island Gold increased 9% to 6.7 million ounces and at significantly higher grades. This growth will be incorporated in the Island Gold District Life of Mine plan to be released in mid-2025 and an expansion study in the fourth quarter. The significant increase in grades since the Phase Three study was completed in 2022, we expect this to support higher rates of production over the longer term. I'll now turn the call over to our CFO, Greg Fisher, to review our financial performance.
Greg Fisher: Great. Thank you, John. On to slide six, we sold 141,000 ounces of gold in the fourth quarter at an average realized price of $2,632 per ounce for revenues of $376 million. For the full year, we sold 560,000 ounces at a realized price of $2,379 per ounce for record revenues of just over $1.3 billion, up 32% from 2023, driven by record production and higher realized gold prices. Fourth-quarter total cash cost of $981 per ounce and all-in sustaining cost of $1,333 per ounce were consistent with our quarterly guidance. For the year, total cash cost of $927 per ounce and all-in sustaining cost of $1,281 per ounce were both in line with annual guidance. Operating cash flow before changes in non-cash working capital was $208 million in the fourth quarter, or $0.49 per share. For the full year, operating cash flow before changes in non-cash working capital increased 40% to a record $726 million, or $1.78 per share. Our reported net earnings were $88 million in the fourth quarter, or $0.21 per share. This included $20 million in foreign exchange losses and $12 million in other losses, offset by other tax adjustments of $16 million. Excluding these items, our adjusted net earnings were $103 million, or $0.25 per share. Our full-year adjusted net earnings were $329 million, or $0.81 per share. Capital spending in the quarter totaled $144 million and includes $35 million of sustaining capital and lease payments, $101 million of growth capital, and $8 million of capitalized exploration. For the full year, total capital expenditures of $428 million, including growth capital of $280 million, was in line with guidance. Free cash flow in the quarter totaled $54 million and a record $272 million for the full year, net of all spending on the Phase Three plus expansion and our largest exploration program to date. Both the Mulatos District and Young Davidson generated record mine site free cash flow of $240 million and $141 million, respectively. Strong free cash flow generation at Milagos was net of cash taxes of $82 million paid in 2024. We expect to pay a similar amount in 2025 given the strong profitability of the Moores District. This includes a 2024 year-end tax payment of approximately $45 million due in the first quarter of 2025. Reflecting our strong free cash flow, our cash position grew 46% by the end of 2023 to end the year at $327 million. Additionally, we amended and upsized our credit facility this month from $500 million to $750 million, increasing our financial capacity on more attractive terms reflecting our growth as a company. With solid ongoing free cash flow at current gold prices and total liquidity of over $800 million, we remain well-positioned to fund our growth initiatives. I will now turn the call over to our COO, Luc Guimond, to provide an overview of our operations.
Luc Guimond: Thank you, Greg. Moving to slide seven. The Island Gold mine produced 39,400 ounces in the fourth quarter, a record 155,000 ounces for the year, achieving the top end of 2024 guidance driven by higher grades mined. For the full year, total cash costs were in line with guidance, and mine site all-in sustaining costs were slightly below the low end of guidance due to the timing of sustaining capital spending. The operation continues to self-fund the Phase Three plus expansion exploration program with $12 million of free cash flow generated in 2024. A remarkable accomplishment considering that over $260 million was spent on capital and exploration during the year. Production from the Island Gold District is expected to increase 50% in 2025, and costs decrease driven by higher mining rates at Island Gold and a full year of production from Agino at higher throughput rates. At current gold prices, the Island Gold District is expected to continue generating free cash flow while funding the Phase Three plus expansion and another significant exploration program in 2025. Over to Slide eight. Magino produced 16,200 ounces in the fourth quarter, a slight decline over the previous quarter as downtime to replace the primary crusher was longer than anticipated. Costs improved quarter over quarter and are expected to decrease further in 2025 as the operation ramps up to steady-state levels. A number of optimization initiatives were implemented within the Magino mill during the second half of 2024. These included the replacement of the secondary crusher in the third quarter and the primary crusher in Grizzly panels in the fourth quarter. We saw premature wear on both crushers, and rather than repairing them, we took the time to replace them with units we utilized at our other operations and can support higher throughput rates going forward. These improvements were completed by year-end, and we are seeing the benefit in the first quarter. We expect mill throughput to increase to approximately 11,200 tons per day by the end of this quarter, at which point, Island Gold ore will be trucked and processed.
Scott Parsons: To the larger?
Greg Fisher: Or cost-effective Magino mill. Given the significantly lower processing costs within the Magino mill, this is going to drive significant synergies and operating costs lower.
Scott Parsons: Moving to slide nine.
Greg Fisher: We continue to make progress on the Phase Three plus expansion and achieved a significant milestone on the shaft sink last November, reaching the first shaft station breakthrough at the 840-meter level. We are currently at the 1,000-meter level and on track to be at the ultimate depth of 1,373 meters in the third quarter of this year. Installation of the in-house steel is completed, and cladding is underway. Work on the Magino Hall Road continues to progress overall. This will be utilized to transport ore from the Island Gold portal to the Magino mill. Construction of the paste plant is ongoing, with foundation work more than 85% complete.
Scott Parsons: Over to slide ten.
Greg Fisher: As of year-end, we spent and committed 72% of the total Phase III plus expansion capital of $796 million, and the project remains on time and within the updated budget. 2025 will be the final full year of spending, with capital expected to drop considerably.
Scott Parsons: In 2026. Over to Slide eleven.
Greg Fisher: Young Davidson mine produced 45,700 ounces in the fourth quarter at costs below the low end of the guidance. Throughput rates were back to the 8,000-ton per day level. The quarter? Consistent with expectations. For the full year, production totaled 174,000 ounces, slightly below the guidance range due to.
Scott Parsons: Temporary or lower scoop availability,
Greg Fisher: earlier in the year. And lower grades mined.
Scott Parsons: For the full year,
Greg Fisher: total cash costs were within the guidance range, while mine site all-in sustaining costs were slightly above the top end of the guidance range, reflecting higher sustaining capital per ounce. Young Davidson generated record mine site free cash flow for the year of $141 million, the fourth consecutive year the operation has generated over $100 million in free cash flow. With a 14-year reserve life, Young Davidson is well-positioned to generate similar levels of free cash flow over the long term. Production is expected to increase to between 175,000 and 190,000 ounces in 2025, with costs also increasing primarily due to ongoing labor inflation in Ontario. Production costs are expected to be at similar levels in both 2026 and 2027.
Scott Parsons: Over to slide twelve.
Greg Fisher: The Milano district continues to exceed expectations and was a key contributor to our outperformance during the year. Production was 38,900 ounces in the fourth quarter and 205,000 ounces for the full year, 5% above the top end of guidance, reflecting the strong ongoing performance from Hayatki Grande. As guided, costs increased in the fourth quarter, reflecting the stacking of lower-grade ore from La Yacque Grande.
Scott Parsons: Costs for the full year were at the low end of the guidance range.
Greg Fisher: Due to strong operational performance, this drove record mine site free cash flow of $240 million for the year. For 2025, production from the Laudis district is expected to be between a.
Scott Parsons: At similar costs
Greg Fisher: to 2024. The operation is expected to continue generating strong free cash flow while self-funding the development of PDA. Over to slide thirteen. We declared an initial reserve at Burnt Timber and Lynx of over 900,000 ounces and incorporated that into an internal economic study that was released last week. The two deposits are approximately to the Linne Lake project and will serve as a source of additional mill feed starting in year twelve, deferring lower-grade stockpiles until later in the mine plan. This is expected to extend the mine life of the Lind Lake project to 27 years.
Scott Parsons: Increase
Greg Fisher: longer-term production rates by 60% and enhance the economics as a low-capital, high-return satellite project. At a $2,200 per ounce gold price and a Canadian exchange rate of 0.75, the study showed a strong after-tax IRR of 54% and NPV of approximately $180 million. At closer to spot prices,
Scott Parsons: the IRR increases to 83%
Greg Fisher: and NPV closer to $300 million. This provides additional value on top of the already robust economics the Lind Lake project carries on a standalone basis.
Scott Parsons: Lastly,
Greg Fisher: there is significant upside potential across the large, underexplored Linna Lake Greenstone Belt. This includes a number of targets that we have already identified across the district and see excellent opportunities to continue to define and develop additional satellite deposits to feed the centralized mill. I will now turn the call over to our VP of Exploration, Scott Parsons.
Scott Parsons: Thank you, Luke. Moving to slide fourteen. We had another successful year on the exploration front across our assets. Global reserves increased 31% to 14 million ounces of gold, driven by the inclusion of Magino, the declaration of an initial 900,000-ounce reserve for timber and Lakewood, and another year of significant growth at Island Gold. Overall, grades decreased to 1.45 grams per ton, reflecting the addition of relatively lower-grade reserves from Agino, for timber delinquent, partially offset by the growth in significantly higher-grade reserves at Island Gold. Excluding Magino, reserves grew by 12% to 11.9 million ounces and slightly lower grade to 1.22 grams per ton. Reflecting ongoing exploration success, global measured indicated resources increased 50% to 6.6 million ounces, with the addition of Magino being the main contributor. Excluding Magino, measured and indicated resources increased 6% to 4.7 million ounces, reflecting additions at Burned Timber and Lakewood, as well as an initial resource at Sarah Pullone.
Scott Parsons: Global inferred resources decreased 2%
Greg Fisher: to 7.1 million ounces, with the addition of Magino offsetting the concessional conversion of resources to reserves at Bergd Timber and Lakewood. Over to slide fifteen. At Island Gold, we had another year of exceptional exploration success. Island gold reserves increased 32% to 2.3 million ounces, with grades increasing 11% to 11.4 grams per ton. This is net of depletion of 157,000 ounces mined in 2024 at grades averaging 12.5 grams per ton, reflecting the addition of even higher-grade ounces. This marks the twelfth consecutive year of growth. Total reserves and resources also increased 9% to 6.7 million ounces, including a 13% increase in inferred resource grades to 16.5 grams per ton. This represented the ninth consecutive year of growth, with reserves and resource grades increasing substantially over that time frame. Island Gold continues to establish itself as one of the highest-grade and fastest-growing deposits in the world. Since acquiring Island Gold in 2017, combined reserves and resources have increased over 260%, with reserve grades increasing 24% and inferred resource grades increasing 53%. Through highly effective exploration programs, this growth has occurred at attractive discovery costs, averaging $13 per ounce over the past year and five years. Over to slide sixteen. The increase in reserves was driven by the conversion of existing resources and the discovery of new reserves across the main structure. The biggest contributor was the addition of 533,000 ounces in the middle portion of Island East, within a large reserve block containing 1.1 million ounces grading 12.9 grams per ton. This large reserve block is located above an even larger and substantially higher-grade inferred resource block in the lower portion of Island East, which contains 1.9 million ounces grading 20.8 grams per ton. Additional exploration drifts are established in the lower mine infrastructure, providing better access for drilling from underground. The conversion of these significantly higher-grade resources is expected to drive further growth in higher-grade reserves. This is supported by resource conversion rates averaging more than 90% across the deposit. The Island Gold main structure is open laterally and at depth. Some of the best intercepts drilled to date are in the lower portion of Island East, and with high-grade mineralization intersected below existing resources, this long-term pace of growth is expected to continue. Over to Slide seventeen. Island Gold's pace of growth is supporting a larger and more valuable operation. By 2020, reserves and resources had doubled to 3.7 million ounces, supporting the planned Phase Three expansion to 2,000 tons per day. By 2022, the deposit had expanded nearly 40% to 5.1 million ounces, which was the basis for this Phase Three plus expansion to 2,400 tons a day. Since the release of the Phase Three plus study, ongoing exploration success has driven a further 31%, or 1.6 million-ounce increase in combined reserves and resources to total 6.7 million ounces. A 13% increase in reserve grades to 11.4 grams per ton, and a 22% increase in inferred resource grades to 16.5 grams per ton. This growth will be incorporated into the Island Gold district life of mine plan to be released in mid-2025 and the expansion study to be completed in the fourth quarter. Given the substantial increase in grades at Island Gold since the Phase Three plus study, we expect this to support higher average annual rates of gold production over the long term. With that, I'll turn the call back to John.
John McCluskey: Thank you, Scott. 2024 was an exceptional year for Alamos Gold Inc., and our outlook has never been stronger. We have sector-leading growth, strong ongoing free cash flow while funding this growth, all driven by long-life operations in politically stable jurisdictions. That concludes our formal presentation.
Greg Fisher: Now I can turn the call over to the operator to open it.
John McCluskey: For your questions. Thank you. We will now take questions from the telephone lines. If you have a question, please press star one at this time. Participant register for questions. Thank you for your patience. There are no further questions at this time. This concludes this morning's call. If you have any further questions that have not been answered, please feel free to contact Mr. Scott Parsons at 416-368-9932, extension 5439.
Greg Fisher: Actually, Carl, we think we do have one question queued up.
John McCluskey: Yes. The first question is from Charles Edelman from Scotiabank. Please go ahead.
Charles Edelman: Okay. Thank you. Jonathan, thanks for taking my question. Congrats on another record year. Just asking you on behalf of all these. My first question here is, are you able to provide an estimate of how much of the $515 million synergies expected to be created in the Island Gold and Magino combination have been realized so far? And how much do you expect to realize in the next one year?
Greg Fisher: Yeah. Charles, it's Greg here. I can answer that question. So if you look back at what we had disclosed, the synergies were comprised of both capital and operating synergies. So in 2024 and 2025, we realized about $100 million of those capital synergies, and that was around not expanding the Island Mill as well as not completing the tailings lift on the island tailings facility. The rest of the synergies will be realized over the life of the mine through the operating synergies. That will be comprised of both G&A synergies as well as lower costs to operate the Magino mill. So that really will ramp up starting in 2026 when we move to the Magino mill in 2025, but we also move to grid power. That's when we'll see the majority of the synergies kick in, and it will be over the next 20 years plus of the life of mine with respect to those synergies at about $25 million a year.
Charles Edelman: Okay. Thank you. And maybe just sticking to the synergies. On the tax side of things, just given where gold is currently trading at, how far along do you think the acquired tax rules and deferred cash taxes?
Greg Fisher: On cash taxes, yeah, I mean, the deferral at these gold prices is about two years. So we actually would have been cash taxable starting in 2025. With the acquisition and the use of the pools at Magino, we're able to defer that around two years. So probably about 2027 is when we'll start to pay significant cash taxes in Canada.
Charles Edelman: Okay. If I just switch there very quickly to Young Davidson, I mean, if you just look at the grades, I Yum. For 2024, that was lower than guided ultimately. Just wondering, like, could you comment on what's happening there and how we should be thinking about this going into 2025?
Luc Guimond: Yeah. Hi. It's Luc Guimond here. So on the grades for 2024, really, over the course of the 2024 period, we just had a slight variance in the sequence of the stopes that were being mined. For the most part, we stuck to the mine plan of mining all of the stopes that we expected to mine in 2024. There were a couple of stopes that varied from what the original plan had, which resulted in slightly lower grade, but what I would say is based on the stopes that we did mine over the course of 2024, the actual results that we got based on a reconciliation relative to the block model of the stopes that we did mine were pretty well aligned. As far as moving forward into 2025, we've guided to, I think our guidance is 205 to 225 in 2025, and we expect to be within that guidance range. The mine sequence is pretty rigid. It's a disciplined approach to the mining sequence at Young Davidson. But, you know, what we're expecting in 2025 would be within that range, but as we continue to move forward into the subsequent years of 2026 and 2027, we would start to see some higher grades appearing based on the mine plan.
Charles Edelman: Okay. And maybe just speaking with John Davidson here, and then if you just look at the cost, like, there seem to be, like, inflationary pressures. They're about 15% relative to 2024. Are you able to explain what the cost drivers are? Are there any potential retrues for the other Canadian operation you?
Greg Fisher: Yeah. It's Greg here again. I mean, if you look at what's driving the increase year over year in YD's costs on a per ounce basis, like the all-in sustaining costs, the first driver would be inflation, so that's about 5%. And we talked about that in our guidance. The second thing which Luke just touched on was the grades. We were seeing a little bit lower grade just due to sequencing in 2025, which has an impact on cost per ounce. And then the last item would be on sustaining capital. And it's really just around timing, really around the underground development and the timing of fleet replacement and rebuild. So if you step back, those three components are all impacting the costs this year versus prior year. If you look at what is applicable to other Canadian operations, it would be inflation. So it'd be inflation of 4% to 5%, and that's what we included in our guidance across our Canadian operations.
Charles Edelman: Okay. Thank you. That's all for me. The next question is from Steven Greens from TD Securities. Please go ahead.
Steven Greens: Yeah. Morning, everyone. Just wanted to ask a question in general on Mexico. You know, I realized most of your growth is in Canada. But the current climate there seems to be improving. Just the tone from the government, you know, permits seem to be flowing. Obviously, Alamos Gold Inc. has a long history there. You know, good team, big land package. Is that something you're seeing on the ground that things are improving there? And is that a jurisdiction you'd love to invest in further?
John McCluskey: Hi, Steven. It's John speaking. We do see a positive change since the, you know, most of the discussion, the commentary you were hearing prior to the election. You know, we were working throughout 2024 on obtaining the permit for the PDA expansion. It was, frankly, a relatively straightforward permit for them to grant. You know, Milatos has been in production since 2005. We were going to be essentially working on that expansion within the area of our existing operating footprint, albeit going underground with a ramp from the side of the main Alatus pit. We were going to be constructing the mill, again, with backfilling the pit with the tailings, dry stock tailings, going into a pit. I mean, all of these things were very much in conformance with the type of project that Mexico has said that it really likes. I mean, over and above that, we're going to be producing a concentrate which we're going to ship off-site, and it means we're not going to be using any cyanide in the process. So virtually all of these aspects of the PDA development plan made it a relatively straightforward project. It was also important for us to get this permit in hand now because it would mean a fairly seamless transition from our open pit production coming from La Yacque Grande to underground production. That changeover will take place in 2027. In order to time that properly, so there was no gap in production, we more or less needed the permit in place now so we could get construction activity underway. They understood this, and I think it was communicated very well by our team in Mexico. And, you know, given the long and very solid track record of that operation, it's a mine that's provided terrific employment opportunities, community development. We paid substantial amounts in taxes over the years to the Mexican government. I mean, in every possible way, this has been a beneficial enterprise as far as the Mexican government is concerned. So, you know, it stood to reason that this was a project that was very much sort of front and center given the extent of permits that are awaiting approval right now. We were very gratified, of course, to get that permit very, very early in the administration and very early in the New Year here. But I do think it's indicative of a better tone towards the mining industry. And I believe there's going to be more permits coming. I think you're going to see quite a number of companies start to benefit as the government accelerates its permit review and starts granting more and more permits along the way. I really see those signs, and I really hope it's going to be the case. We're going to be meeting with the Mexican delegation at the PDA conference coming up in early March. And all indications are that that meeting is going to be a very positive tone, and they expect to deliver a good message to the mining industry.
Steven Greens: Okay. Great. So is this a jurisdiction then that you would look to about further using beyond PDA?
John McCluskey: Well, we've stayed pretty focused on Milatos for a long, long time. Fortunately, it's a big district, and it's given us a lot of opportunities to develop other things. I mean, in addition to the main Milatos pit, we've developed five additional deposits over the 20 years we've been operating there, and there's still a lot of opportunity in front of us as we sort of transition away from our focus on sort of open pit heat bleaching projects, largely mining near-surface oxides. Now we're going for higher-grade sulfide deposits, and the exploration budget is really allocated to delineating more reserves along those lines. And we're having some great success. We're not really looking outside of the Moloto's district right now. I think that it'll be a prudent sort of move on our part to just watch how things unfold over the next year. And as this administration gets its footing and starts to deliver very clear policy messages to the industry. With respect to the mining industry itself and overall foreign investment into Mexico, I think with everything going on in North America right now with respect to tariffs and so forth that are being proposed for both Canada and Mexico, my feeling is you're going to see stronger ties being built between Canada and Mexico, more investments from Canada into Mexico, more opportunities. I think that's going to happen, but I think we're going to just watch over the next year to see how things unfold.
Steven Greens: Fair enough. Thanks, John. That's all I had.
John McCluskey: Thank you, Steve. Once again, please press star one if you have a question. The next question is from a private investor, Andy Shubik. Please go ahead.
Andy Shubik: Thank you very much for permitting me to ask a question. The question I'd like to ask concerns dividend policy. Given the performance of the company and the outlook for the company and the cash flows now, you know, a ten-cent annual dividend US dollar seems a little understated, and I just wondered at what point you would reconsider the cash dividend policy.
John McCluskey: Okeydoke. We have an extremely aggressive growth profile underway between now and the end of the 2020s. We're essentially funding a major expansion project at our Island Gold facility. We're building a brand new mine at Lynn Lake. We're now developing a new mill complex and a new underground mine at our Milatos project. This is a lot of heavy lifting, but the net result is we're going to lift our production from where we started last year at around 500,000 ounces a year. We're going to lift it to close to a million ounces a year over the next five or six years. And I think our shareholders are going to be much more focused on us executing on that growth plan, fully funding it, and executing on that growth plan, as opposed to us increasing the dividend. So we're not thinking about increasing the dividend at this point. The dividend is essentially, I would say, a recognition of our intentions ultimately to pay higher returns to our shareholders both through dividends and share buybacks. But for the time being, our focus is very much aligned to this growth initiative. And don't expect any increase in dividends in the near future.
Andy Shubik: Okay. Thank you so much.
Operator: There are no further questions at this time. This concludes this morning's call. If you have any further questions that have not been answered, please feel free to contact Mr. Scott Parsons at 416-368-9932, extension 5439.